Executives: Lisa Cohn – EVP, General Counsel Terry Considine – Chairman and CEO Tim Beaudin – President and COO Ernie Freedman – CFO
 – : Tony D’Alto – EVP, Property Operations Miles Cortez – EVP and Chief Administrative Officer
 : Tony D’Alto – EVP, Property Operations Miles Cortez – EVP and Chief Administrative Officer
Analysts: Swaroop Yalla – Morgan Stanley Michael Levy – Macquarie Michelle Ko – Bank of America Eric Wolf – Citi Michael Salinsky – RBC Capital Markets Andrew McCulloch – Green Street Advisors Ross Nussbaum – UBS  
Operator:  Good day, ladies and gentlemen, and welcome to the second quarter 2010 Apartment Investment and Management earnings conference call. My name is Andrea and I will be your coordinator for today.  At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions).  As a reminder, this conference is being recorded. And, now, I’d like to turn the presentation over to your host for today’s call, Lisa Cohn, Executive Vice President and General Counsel. Please proceed, ma’am.
Lisa Cohn: Thank you, Andrea. Good morning and good afternoon. During this conference call, the forward-looking statements we make are based on management’s judgments including projections related to 2010 results. These statements are subject to certain risks and uncertainties, a description of which can be found in our SEC filings. Actual results may differ materially from what may be discussed today. Also, we will discuss certain non-GAAP financial measures such as funds from operations. These are defined and are reconciled to the most comparable GAAP measures in the supplemental information that is part of the full earnings release published on AIMCO’s website.  Participants on today’s call will be Terry Considine, our Chairman and CEO who’ll provide opening remarks; Tim Beaudin, AIMCO’s President and Chief Operation officer will speak to property operations and capital recycling activity; and Ernie Freedman, our CFO will review second quarter financial results, debt capital markets activity, and guidance for the third quarter and full-year 2010. I will now turn the call to Terry Considine. Terry?
Terry Considine:  Thank you, Lisa, and thanks to all of you on this call for your interest in AIMCO. On today’s call, my colleagues and I will discuss second quarter results, give an update on our balance sheet, and provide some comments about what we see as we look forward. First, our business is improving. Average daily occupancy is high, renewal rates have been positive since February. During the second quarter, new leased rates were positive in several markets for the first time in more than a year. We expect total portfolio net operating income to be just about breakeven with last year for all of 2010 and we project same-store net operating income to be about breakeven for the second half of 2010. Second, our balance sheet is improving. We’ve repaid the balance on our term debt earlier this week, leaving us with no recourse debt.  Looking forward, we are cautious. The economy continues to recover, but the pace of recovery is slowing. Apartment demand will be better than the general economy, because the demographics are attractive and because homeownership is not. And this demand will drive rent growth, because apartment supply is expected to be fairly positive over the next few years. However, unsustainable federal deficits and expansive legislative agendas mean that wrenching change lies ahead with unpredictable consequences. In the pace of these uncertainties, we remain focused on serving our residents and keeping high occupancies, maintaining our properties in good condition, controlling costs, refinancing property debt to extend maturities and lock in current insurance. With that, I’d like to turn the call to Tim Beaudin, to review operations. Tim?
Tim Beaudin: Thanks Terry. On today’s call, I will discuss second quarter and year-to-date operating results with a focus on top line and rental trends we’ve seen so far this year, and I will also provide a brief update on our capital recycling activities. First, property operations. AIMCO’s portfolio can be divided into five categories, conventional same store, affordable same store, conventional redevelopment, affordable redevelopment, and others. On page two of this morning’s earnings release, we laid out the year-to-date financial performance of these portfolios and additional quarterly and year-to-date information related to the conventional same-store portfolio. You will find quarterly results of our entire portfolio on page 23 of our supplemental schedules. Moving onto to results, property NOI across our entire portfolio was up 1.2% for the quarter and year-to-date was just 40 basis point behind last year. Total same-store NOI which includes conventional and affordable same store was down 1.3% for the quarter and down 2.8% year-to-date. In our conventional same-store portfolio, NOI was down a little more than 1% for the quarter, a result almost 4% better than the high end of our guidance with out performance in both revenues and expenses. Year-to-date conventional same-store NOI is down just over 3%.  Affordable same-store NOI was down 2.8% for the quarter and 20 basis points year-to-date. So far this year, expense growth in this portfolio had our case study revenue gains. As for the top line, we saw a strengthening revenue across our portfolio during the second quarter.  Revenue for our entire portfolio was up 1% for the quarter and up 60 basis points year-to-date. Revenue for our total same-store portfolio was equal to last year for the quarter and down 60 basis points year-to-date. Conventional same-store revenue for the quarter was down 50 basis points with high occupancy at 95.6% offsetting a year-over-year decline in average rental rates of about 4%. Year-to-date conventional same-store revenue was down a little over 1%. Affordable same-store revenue was up about 2.5% for the quarter and more than 2% year-to-date. Occupancy remained high at over 97% with average rents up just over 1.5% for the quarter. Looking ahead at a portfolio average daily occupancy of over 95% for the quarter and the same for July, future revenue performance will be driven primarily by rate, which we’re seeing move in a generally positive direction.  When we think about rate, we look at new leased rates and renewal rates. New leases are those where a vacant apartment is leased to a new customer. These account for about one-third of our business. Renewals of leases with existing customers account for the other two-thirds of our business.  In measuring changes in rental rates, we compare the rate on newly executed leases whether new or renewal to the rate on the expiring lease for that specific apartment. New and renewal rate trends are pretty consistent across our conventional portfolio. But today, I will speak specifically to rental rate trends in our conventional same-store portfolio. During the second quarter, new leased rates were down 2.3%. This compares to a 7% gap during the first quarter. So new leased rates are improving. In fact, new leased rates were up in several of our markets, including Washington DC, Baltimore, Miami, and San Francisco. We also continued to see acceleration in renewal rates. During the second quarter, renewal rates were up nearly 2%. This compares to a first quarter renewal rates that were up by 10 basis points. Renewal rates were higher in everyone of our markets, except one. A final point; so far this year, both new and renewal rates have been better each month than in the preceding month. So the trend has been positive. Moving onto capital recycling; during the second quarter, we sold 11 properties for a $102 million with net proceeds to AIMCO of $25 million. Our primary use of proceeds from asset sales over the last few years has been to repay our recourse term debt, now completely repaid.  Going forward, proceeds the sales lower rated assets will generally be used to improve portfolio quality to redevelopment or acquisitions within our target markets. Our plans for the future remains simple and unchanged. We are going to be focus on operating our portfolio well and improving portfolio quality and concentrating capital in our target markets. With that, I will turn it over to Ernie. Ernie?
Ernie Freedman: Thanks Tim. On today’s call, I will cover the following subjects. First, our financial results for the quarter; second, our balance sheet; and third, I will provide third quarter and updated full-year 2010 guidance. At the second quarter financial results, second quarter pro forma FFO of $0.41 per share exceeded the high end of our guidance range by $0.07 in the midpoint of guidance by $0.10 per share.  Our favorable results were achieved through property operating income of $0.06 per share above expectations, including $0.04 from conventional same store, primarily due to higher occupancy and lower utilities, payroll expenses and property taxes, and $0.02 from conventional redevelopments and occupancy exceeded our expectations. The utilities and marketing cost came in lower than anticipated. In addition, we had some one-time items in the second quarter that positively impacted results by a net $0.03. There were a couple of litigation matters that were settled during the quarter, which are reflected in other income that contributed an additional $0.06 to FFO net of tax. And there were unfavorable one-time items of $0.03 primarily related to our decision considering the core state of the market for tax credits, to write-off previously deferred cost associated with potential tax credit transactions. These are reflected in investment management expense. Turning to our balance sheet, as Terry and Tim mentioned, earlier this week, we met our goal of fully repaying our term debt. Today, our only recourse that obligation is a revolving line of credit which other than to collateralized letters of credit with under drawn at 231.  We have no 2010 property debt maturities. In 2011, we have four loans, the appropriate collaterals totaling $100 million. We plan to refinance these loans closer to their respective maturity dates, we’ll work with our lending partners to seek an early refinance if possible. During the first half of this year, we refinanced approximately $44 million of non-recourse property debt at a weighted average interest rate of 5.2%, extending maturity date and locking in today’s low rates for the next 10 years. Year-to-date we have incurred prepayment penalties of approximately $2 million associated with our refinancing activity which is included in the interest expense. We are looking for opportunities to expand 2012 through 2014 property debt maturity to reduce refunding risk, to take advantage of current interest rates.  We remain on plan to reduce somewhat AIMCO financial leverage, both by cyclical recovery of property income and by scheduled amortization of our property debt which averages about $80 million per year over the next few years. At the guidance, we are increasing projected full-year 2010 pro forma FFO from a range of $1.25 to $1.35 per share to a range of $1.37 to $1.45 per share. At the midpoint, guidance is increased by $0.11, which reflects our $0.10 outperformance in the first half in an upward adjustments to the expected second half NOI, somewhat offset by an anticipated decrease in nonrecurring income from investment management activities. Our updated guidance includes the following, which is also provided our earnings release. Total portfolio NOI is between 50 basis points above and 50 basis points below 2009, compared to our previous estimate of a decline of 1% to 3%. And conventional same-store NOI is 1% to 2% below 2009, compared to our previous expectation of a decline of 2% to 5%.  For conventional same-store revenue we are nearing our guidance from a decline of 50 basis points to 2% to decline at 50 basis points to 1%. And for conventional same-store expenses, we are reducing our expense guidance from an increase of 1.5% to 2.5% to flat to an increase of 1%.  We expect our nonrecurring investment management income net of tax to approximately $1 million for the full year, down from our previous guidance of $4.5 million at the midpoint. Lower guidance is based on the following: Nonrecurring revenue of $4 million to $6 million and nonrecurring expenses of $4 million, which includes $2 million of previously deferred costs written off during the second quarter.  For the third quarter, pro forma FFO is projected to be $0.32 to $0.36 per share with conventional same-store NOI between 50 basis points above and 50 basis points below third quarter 2009 NOI. With that, we will now open the call up for questions. Please limit your question to two per time in the queue. Andrea, I’ll turn it over to you for the first question.
Swaroop Yalla – Morgan Stanley:  Yes, hello. I wanted to just get some guidance on the volume of dispositions for the rest of the year. You mentioned that the recourse debt has been paid off, but the uses will be for redevelopment and for acquisitions. But I just wanted to get a sense of whether this volume would decrease for the rest of the year or will it stay the same at the current pace?
Terry Considine: Well, let me ask, John Bezzant, who is joining us today, to answer that question for you.
John Bezzant:  Good question. What we are looking at will be generally in line with what we’ve seen for the first half of the year. We have with the payoff of the term debt entered a phase where we are going to look at disposition opportunities in relation to our reinvestment opportunities. And to a large degree those reinvestment opportunities will drive the volume of the disposition activities.
Swaroop Yalla – Morgan Stanley: Okay, so, it would be at the same pace as the first half of the year.
John Bezzant:  Generally speaking.
Swaroop Yalla – Morgan Stanley: Okay. And just to touch upon the new leases; you mentioned they’re down minus 2.3%. What are you seeing from the latest reads from July and further out? When do you see that turning positive for the new leases?
Terry Considine:  Sure. We have Tony D'Alto with us here today. Let me ask Tony to address that.
Tony D'Alto: Good morning. As Tim mentioned, there are several markets where we’ve actually lowered a sort of positive turn on new leases. We continued to see the gap to prior year close and it’s – that’s also continuing. As we look forward, we expect that to continue.
Swaroop Yalla – Morgan Stanley: Okay. And just very quickly, what has been the turnover in the portfolio and have you seen any trends in the turnover itself?
Tony D'Alto: Actually, our – lost the word, not renewal, retention, excuse me – our retention was up a 160 basis points quarter-over-quarter at 65.8. So we’re retaining more of our customers.
Swaroop Yalla – Morgan Stanley: Okay, thank you guys.
Operator:  Thank you. Our next question comes from Michael Levy of Macquarie. Please go ahead.
Michael Levy – Macquarie: Thanks and good afternoon. I had to join late, so apologies if you talked about this already. I was wondering if I can get more specifics about the second half guidance. What’s really driving the lower earnings expectations from $0.38 pro forma this quarter to I guess $0.34 over the next two quarters?
Ernie Freedman:  Hi Michael, I can address that in terms of what’s happening between the two quarters. Going from third quarter to second quarter, we – in the earnings release we talk about from a sequential basis, we do expect to be down roughly about 1% to 1.5% in terms of same-store NOIs, about – that’d be $0.01.  In addition, in our other operating platforms, redevelopment, affordable, our non same stores, we do expect those to be down about $0.01 also on a sequential basis. Both of those are being driven both mainly by expenses. We had – we’ve expected the seasonality and then with turns cost have expenses a little bit higher in the third quarter than we did in the second quarter.  In addition, when we have the earnings from our sales activities, the dilutive impact of selling assets and paying off our term debt, that’s going to be another $0.01 for us as well. And then, with all the net one-timers, which I think you left out like saying $0.38, but to make sure folks are clear, the number that we reported was $0.41. Of course, those aren’t to going to repeat.  So those first three items I described plus a little bit of a noise that makes up another $0.01 in the $0.04 difference that you talked about getting from $0.38 towards the midpoint of our guidance for next quarter of $0.34.
Michael Levy – Macquarie: Okay thanks. And can you talk a bit about just specific markets and where expenses may have ticked up specifically Miami and sort of what went on there?
Ernie Freedman: Sure Michael. And specifically in Miami, we had some very good real estate deals that came through for us in the second quarter of 2009. For the two of our high rise properties, we’re able to get successful deals completed for both that year as well as past years, that’s why you’re seeing a very large increased expenses year-over-year, we didn’t have that same success for the same quarter here in 2010. That was the biggest increase you saw quarter-over-quarter from some of the different markets.
Michael Levy – Macquarie: And with the reverse be true, are you seeing those types of – those types of incidents taking place in maybe the markets like Baltimore, Indianapolis and Nashville or I guess the other markets where on a sequential quarter basis expenses help handsomely?
Ernie Freedman: Yes, specifically in Indianapolis, we had a good guy with real estate tackle this year, where the settlements did come through or we did half of last year. In other markets, from a sequential basis, anything in the Northeast is going to be driven basically by weather, where we had a top first quarter with regards to snow removal cost as well as utility costs and we saw a much better results in the second quarter results.
Michael Levy – Macquarie: Okay. And, one final question, if I could. In terms of where the funding is going to come from to do redevelopments going forward or perhaps even bidding on assets going forward, is that going to come by through – well, I guess, where does cash is going to come from with which you’re going to do that?
Terry Considine:  Michael, this is Terry. As John mentioned earlier, we’re now in a situation where we expect to fund redevelopment or acquisition activities from the proceeds of lower rated assets, so it’s a simple comparison of whether there is – there are uses which we prefer to the ones we have today. And we’re active in the markets, so we have an opinion about what the sales value might be and we’re looking for opportunities that we prefer.
Michael Levy – Macquarie: Are you getting closer to finding stuff that you might like?
Terry Considine: We’re active and it’s inherently unpredictable. We’ve looked at a great number of transactions. And, so far, we haven’t found this – the right one.
Michael Levy – Macquarie: But there is still a lot of opportunities for redevelopment within the core portfolio, right?
Terry Considine: Yes, there is. There is a – as you’ll remember, we shutdown our pipeline of redevelopment activities a year-ago, and at this moment, we are basically out of that business as it were in terms of current activity. But I would expect to see some starts in that by the end of the year.
Michael Levy – Macquarie: Okay. And then, just sort of one final follow-up to that; is it possible – so you wouldn’t be financing the redevelopments by any sort of additional mortgages – any sort of funds that you’d get from refinancing existing mortgages, right?
Terry Considine: Refinancing proceeds are part of our sources of capital, so their target is to trace money from one place or to another. And, in particular case, for example, our Treetops redevelopment in San Bruno, California, that will likely be financed with a property loan in that market. But broadly, I’d refer you back to Ernie’s points that we expect going forward to slightly reduce our overall leverage through property debt amortization.
Operator:  Thank you. Our next question is from Michelle Ko of Bank of America. Please go ahead.
Michelle Ko – Bank of America:  Just to follow-up on the last question, I was just wondering could you give us a sense for how much you could do in redevelopments potentially.
Tim Beaudin:  Michelle, this is Tim Beaudin. I think the game plan’s going to be probably exclusive of Treetops and Lincoln kind of on a reoccurring basis, kind of the $50 million to $100 million range. I think this is kind of depend on again with Terry and John both spoke to, that is just on our disposition side, matching that up against better opportunities on the redev side. But we are actively kind of gearing up the efforts on about five properties, so that – that as we get into that arena, we’re going to – we’ll be ready.
Michelle Ko – Bank of America:  Okay. When you –
Tim Beaudin:  To speak to that, also, people have asked me before about we still have within our construction services and our redev group, we’re currently staffed that we can handle that $50 million to $100 million.
Michelle Ko – Bank of America:  Okay, great. And when you look at those redevelopments, I guess are you looking at it more on an asset-by-asset basis or are you looking at those markets that you think might have more improvement?
Tim Beaudin:  Michelle, most of the focus will be in our core markets, so I’ll start off by saying, it’s those 20 markets. But, obviously, we’re going to focus on one – as we continue to see improvements in the market, I think we’re going to focus on those that we believe we’ll get the highest and most predictable return.
Michelle Ko – Bank of America:  And are there any that you are particularly focused on?
Tim Beaudin: There are, but I can tell we're ready to start them. I'm going to keep that secret to myself.
Michelle Ko – Bank of America: Okay, thank you so much.
Operator:  (Operator Instructions). Our next question is from Eric Wolf of Citi. Please go ahead.
Eric Wolf – Citi: Thanks. Terry, you talked a little bit about the growing US deficit and unpredictable sort of political agendas. Since AIV is primarily a secured borrower, are you nervous at all about a change to the GSEs and does this change your view at all about the appropriate capital structure reviews?
Terry Considine:  Eric, I’m quite concerned about those macro issues you discussed. And I think it is very likely that there will be some change in the regulation and the focus of the GSE. What it is is what that change will be is a little bit unpredictable to me. I don’t think it’s created particular risk to the company. Remember, we owe them, not they us. And so it really will just mean that there would be a change in our sources for property debt.  Throughout all of this, we’ve diversified portfolio of lenders. We’re fortunate to have a great many lenders, besides the GSEs that provide property debt to us. Today, it’s probably one-third, two-thirds, one-third or 60-40 something like that in terms of outstanding property debt.  And, today, the life companies and savings banks are quite competitive with the GSEs. So if there is a reduced presence by the GSEs that will tend to result in some increase in interest rates compared to the alternative. But in the case of income, because our debt is of such long duration, it would lead in to our numbers over a long period of time.
Eric Wolf – Citi: Right. I just didn’t know that maybe if a long-term goal was to sort of move to more unsecured type balance sheet. I mean, I’m not thinking obviously just next year, but maybe over the next say 5 years or so.
Terry Considine: It could be if the world change. But, right now, I think that would be the opposite of what I’d want to do.
Eric Wolf – Citi: Got you.
Terry Considine: To me, as I look forward, and if I think that the economy is going to be unpredictable and variable, then I take a lot of comfort in the fact that we have no recourse debt, which means, that it’ll be very hard for us to any new risk. We have very limited refunding risk for the next few years and we are working to reduce that even those with lots of runway to adjust to changing economy.  So I recognize that today's corporate debt, if you look at the McDonald's transaction, for example is quite cheap. But what their risk will be to that debt in an uncertain economy, I don’t know and I’ve chosen to limit our risk to property-by-property basis.
Eric Wolf – Citi: Great, thanks. And just one last quick question; as far as the guidance, what would the guidance be for 2010, excluding all non-recurring items to all the, I guess, the write-offs from the tax litigation settlements that you say that you talked about?
Ernie Freedman:  Yes, net year-to-date is $0.03, so you just bring down the guidance range by $0.03 at the bottom and the top and at the midpoint.
Eric Wolf – Citi: Just down $0.03. Okay, great. Thank you.
Ernie Freedman: Okay.
Operator:  Thank you. Our next question comes from Michael Salinsky of RBC Capital Markets. Please go ahead.
Michael Salinsky – RBC Capital Markets:  Hi, good afternoon. First just a couple bookkeeping questions. First of all, in July, have we had any issuance in the ATM program? And also, as you’re looking out at renewed – at new redevelopments, what’s kind of the hurdle rate there or the targeted yield you guys need to move forward on those?
Terry Considine:  Let me answer the question first on ATM. The answer is no. We have got no issuance under the ATM program. And with regards to hurdle rates for redevelopment, we generally want to have a rate somewhere between 10% and 20% greater than what we think we can get from acquisitions, because of the risk. Of course, it’s going to depend on the cap rate in that locality. So a lower cap rate market will have a lower increase in terms of the amount of yield compared to a higher cap rate, generally look for a 10% to 20%. 
Michael Salinsky – RBC Capital Markets: 10% to 20% cash-on-cash returns and 20% on –
Terry Considine: 10% to 20% better return in an acquisition. So the acquisition is – let’s say an acquisition was due to 5%, we’d want to be 10% or 20% better than that or closer towards that.
Michael Salinsky – RBC Capital Markets: Okay. And the second question is just a bigger picture question. One of your peers, they’ve kind of oppose the idea that we could have this – the current gross rates can continue with all just minimal job growth. Just curious as to what’s your thoughts are Terry on that?
Terry Considine: I hope so. It – it’d be very good news. If that were to occur, it would benefit AIMCO’s diversified portfolio equally and it would benefit AIMCO’s shareholders disproportionately, because we’re somewhat more leveraged than most of our peers. So I hope for that. I don’t count on it, because I think we’re just in unchartered waters as the economy.  I do think that the apartment business will do better than the overall economy for the two reasons I mentioned at the beginning. First, the demographics are quite good; and second, the competitive appeal of owned housing has been reduced by the excitement in the last two years. So I think we will do better than the economy, but I think the economy is quite unpredictable.
Michael Salinsky – RBC Capital Markets: Fair enough. Thanks guys.
Terry Considine: Thanks Michael.
Operator:  Our next question is from Andrew McCulloch of Green Street Advisors. Please go ahead.
Andrew McCulloch – Green Street Advisors: Hi, good afternoon, guys. Ernie, a quick question; can you just breakdown the components of other income this quarter and then also give us a sense of where you expect that to total out for the year? I apologize if I’ve missed this.
Ernie Freedman:  No. What happened with other income was one-time items that we have with some legal settlements. So net you have running through there approximately $10 million worth of items that had to do with two legal settlements. Net of tax for us though – though it came in about [inaudible] I talked about. And the remainder portion of that, it is running through our tax benefit line.  That’s really the big variance where our typical run rate is on other income. Typical run rate on other income is usually a loss anywhere between $1 million and $3 million depending on the activity in the quarter. If you take that out, we kind of land in where we would normally expect to land with other income.
Andrew McCulloch – Green Street Advisors: Total for the year.
Ernie Freedman: Total for the year, and I’m not going to give specific numbers for this for the third and fourth quarter. I’ll just say that typically runs somewhere between $1 million and $3 million above loss and other expenses.
Andrew McCulloch – Green Street Advisors:  Okay, thanks. And then the second question, any updates on Lincoln place?
Miles Cortez: Andrew, it’s Miles Cortez. Yes, I think you probably know that we finalized a settlement with the City late May, the City Council approved it in the early June. The court approved all the settlements and we’ve started the process of site plan review and environmental assessment in hopes of getting it mitigated by the end of the year.
Andrew McCulloch – Green Street Advisors: You any closer on dialing into what you think you’re going to spend per unit on that project?
Miles Cortez: No, not yet.
Andrew McCulloch – Green Street Advisors: Okay, great, thanks guys.
Terry Considine:  Okay Andy.
Operator:  Our next question comes from the Dustin Pizzo of UBS. Please go ahead.
Ross Nussbaum – UBS:  Hi, it’s Ross Nussbaum here with Dustin. Can you specifically address what the six sense of litigation settlements were related to?
Terry Considine:  Let me ask Lisa Cohn to address that, our General Counsel.
Lisa Cohn:  Sure. There were two items. One was related to an insurance company’s duty to defend AIMCO in our historic insurance litigation cases, which you may remember from about a decade ago. That matter bumped along. And after a favorable appellate court ruling we were able to settle that one.  The other matter involves recovery from various engineers and contractors who were responsible for construction work at a property in Cincinnati, Ohio, which property suffered from damage as a result of a landslide.
Ross Nussbaum – UBS: Thank you.
Lisa Cohn: Sure.
Operator:  At this time, we have no further questions. I would like to turn the conference back over to Terry Considine for any closing remarks.
Terry Considine:  Well, let me finish where we began. I thank you for your interest in AIMCO. We feel we had a good quarter. We feel that the economy is on the mend, but we feel that the – it’s a time for caution and so we are proceeding to execute our plans with due care. Thanks very much. If you have further questions, please feel free to call Ernie or Elizabeth Coalson or myself. All the best.
Operator:  Thank you for your participation in today’s conference. This concludes today’s presentation. You may now disconnect. Have a wonderful day.
